Marissa Wong: Good afternoon, everybody, and welcome to CLP's 2023 Interim Results Briefing. My name is Marissa Wong, Director of Investor Relations, and I'm joined today by Chief Executive Officer, Mr. Richard Lancaster and Chief Financial Officer, Mr. Nicolas Tissot. We lodged our 2023 interim results announcement with the Hong Kong Exchange at around midday today. That announcement in addition to this presentation are now available on our website. This briefing is also being recorded and will be available on our website a little bit later. Before we begin, please remember to read the disclaimer on slide two. And for today's agenda, we'll follow our usual practice and hear from Richard on CLP overview and strategic outlook and Nicolas on financial results. This will be followed by a Q&A session. With that, I will now hand over to Richard to commence the briefing. Thank you, Richard.
Richard Lancaster: Good afternoon, ladies and gentlemen, and welcome to our 2023 interim results presentation. Our first half performance demonstrated strength across the group that position us well for the year. First, we delivered a solid and stronger financial performance, which is especially pleasing given the headwinds that we faced last year in Australia, and this is a testament to the need to constantly adapt to a fast changing energy landscape. Hong Kong's performance was again dependable as was the nuclear earnings in Mainland China. EnergyAustralia showed signs of progressive initial recovery in a less volatile market environment and Apraava Energy benefited from a solid performance adding to a positive one-off income. Second, we're making positive strides in low carbon investments and growth initiatives while continuing to reliably operate our assets to deliver consistent dividends to our shareholders. And third, we continue to play our role in the energy transition, working closely with governments, partners and customers to drive the deployment of non-carbon energy and to deliver fair and affordable energy for all. Our performance today reflects the resilience of our business model and our strategic focus will position us to capture opportunities arising from the energy transition putting us on the right path to deliver the full growth of profitability potential of our portfolio. Now turning to CLP's highlights for the first six months in 2023. Financially, the group's operating earnings before fair value movements grew 19% year-on-year to nearly $5 billion. Last year operating losses and unfavorable fair value movements at EnergyAustralia significantly impacted earnings. In line with the stabilized wholesale price environment, these extreme fair value movements weren't repeated and our total earnings for the half was slightly above $5 billion. Based on these solid results and confidence in the group's prospects, the Board has approved a second interim dividend of $0.63 per share. This brings the total dividend for the first half to $1.26 per share, the same year-on-year. Operationally, energy output declined 7% due to exiting Fangchenggang coal-fired power station and the deconsolidation of Apraava Energy in India. Excluding these changes, output from our portfolio pretty much matched last year's level. For safety, in the first half of 2023 we reported an improvement in our injury rates compared with the same period last year. Our unplanned customer minutes lost, which is our main reliability metric, was slightly higher. Nevertheless, reliability in Hong Kong remains exceptional compared to most major urban centers around the world. And finally, on the customer side, customer accounts grew in Hong Kong while higher competition and increased churn at EnergyAustralia resulted in a slight decline in accounts. I'll now hand over to Nicolas to take you through the financial results in more detail.
Nicolas Tissot: Thank you, Richard, and good afternoon. I'm pleased to report that we have achieved steady progress in the first half of 2023 after the energy crisis we experienced last year. Before discussing our financial results, just a quick reminder that we have adopted earnings before interest, tax, depreciation and fair value or EBITDAF and operating earnings before fair value movements as our two key operating and financial performance metrics. EBITDAF reflects operating financial performance before financial structure and taxes and allows for easier comparisons with other companies in our industry. Further down the P&L, using operating earnings before fair value movements instead of ACOI allows better understanding of operational profitability after the impact of how we fund our development and how we are taxed in our various geographies. For the first half of 2023, we recorded EBITDAF growth of 5% to $11.4 billion. This reflected stable generation, sustained capital expenditures in Hong Kong and lower operating costs. Adjusted operating earnings before fair value movements grew by 19% supported by the solid performance across the group offset by slightly higher interest costs and tax expenses. Including the fair value movements, operating earnings totaled nearly $5 billion, a turnaround result from 2022. And including items affecting comparability, total earnings crossed the $5 billion mark as compared to a loss a year ago. Capital investments were $6.1 billion, a 20% decrease driven by the deconsolidation of Apraava Energy. And as mentioned by Richard, total interim dividends per share declared in the first half were at $1.26 same as last year. Looking at the EBITDAF chart, the waterfall clearly shows that our markets have delivered well with improvements across all business units. This year we had a significant scope impact following the deconsolidation of Apraava Energy now equity accounted as a 50-50 JV as well as the divestment of Fangchenggang events that occurred late in 2022. Removing the impact of scope and currency movements against the Hong Kong dollar, consolidated EBITDAF of the group was 12% above last year. Also worth mentioning that the group benefited from a favorable one-off in India, which I will detail later. Excluding this one-off, EBITDAF was up 9% on a comparable basis. This slide breaks down the growth of our operating earnings before fair value movements between what comes from ForEx and scope, the organic variance of EBITDAF and then financing costs and taxation evolution. As shown in the previous slide, we recorded an organic improvement of close to $1.2 billion in EBITDAF. Net finance costs increased due to rising interest rates although we managed to mitigate much of that impact thanks to our active fund management as I will detail later. Tax expenses were higher mainly due to an increased taxable base in all our markets. Excluding ForEx and scope, operating earnings before fair value increased by 16%. Removing the one-off already mentioned in India, operating earnings before fair value grew by 9%. So you can take away we have delivered a healthy more or less double-digit growth of our two new reference operational financial performance metrics. At the operating earnings level, we saw higher contribution from all regions except for a marginal drop in Hong Kong. Hong Kong's underlying performance remained very sound and dependable driven by higher average net fixed assets. However, increased non-pass-through Scheme of Control interest cost impacted earnings. Earnings from Mainland China grew by 11% off the back of strong nuclear performance and, in particular, high output from Yangjiang. China's performance was also helped by favorable scope effect after the sale of loss-making Fangchenggang Power plant. EnergyAustralia's financial contribution improved as its wholesale segment started to progressively recover in a more stable market environment. This was partly offset by weaker retail performance from higher energy procurement costs to support our customer base. In India, earnings from Apraava improved largely thanks to a one-off income for amounts owed by the offtakers under the Jhajjar PPA and underlying performance was also good. Higher energy tariffs and output and accelerated indexation mechanism at Ho-Ping in Taiwan also contributed positively. Fair value losses improved from a heavy negative $8 billion last year to a slightly positive $17 million reflecting the stabilization of the market in Australia. We've already covered the operating earnings and total earnings. So now I'll review each business unit's performance and outlook in turn. All variances will be analyzed at operating earnings before fair value movements level and will exclude the impact of ForEx and scope to reflect the actual underlying performance of the business. Starting with Hong Kong. Our continued investments in electricity infrastructure and de-carbonization drove a 5.5% higher return on average net fixed assets. The recent commissioning of the offshore LNG terminal is a milestone in the execution of our de-carbonization strategy to use gas as a transition fuel. However, higher non-pass-through interest costs in the context of rising interest rates resulted in a slight 2% decrease in our earnings. So far in 2023 on an accrual basis, the Scheme of Control business has invested $4.7 billion made up of $2.8 billion in transmission, distribution and smart meters and another $1.9 billion in generation facilities. There have been positive signs on electricity sales, which increased by 3.7% as the Hong Kong economy recovers from COVID. On the fuel cost front, we are seeing international prices beginning to soften. Looking ahead, as we come into the final year of the current five-year development plan, we are in discussions with government on the next development plan for 2024-2028, which should be finalized by the end of the year. We will continue our focus on operational excellence, cost control and supporting our customers to minimize the impacts of high fuel costs and inflation. We are also pursuing opportunities created by the accelerating electrification and de-carbonization through new energy infrastructure solutions harnessing technology and digitalization. Over now to Mainland China where our diversified portfolio delivered a solid performance with operating earnings of nearly $1.4 billion, an increase of 6% over the same period last year on a like-for-like basis. Our two nuclear power plants were the largest contributors with Daya Bay and Yangjiang generating a high $1.1 billion in earnings. Notably, Yangjiang achieved a very high electricity generation showcasing the reliability of nuclear. Our renewables portfolio performed steadily with higher contributions from wind and solar. This was partially offset by lower hydro resources. The start of commercial operations of Xundian II in Yunnan, a subsidy-free grid parity wind project, also contributed positively. Performance of our remaining minority owned coal-fired assets was lower than last year due to lower output and tariff. Finance cost reduced year-on-year thanks to refinancing at more favorable interest rates. Looking ahead, we see positive economic and social indicators as China progressively reopens post COVID, driving higher energy demand and spurring the country's ambitious plans for transitioning to renewables. We've been strengthening our project pipeline in high demand regions like Jiangsu and Guangxi and see more corporates seeking green power options we are well positioned to provide. Our nuclear portfolio is expected to remain strong despite planned outages for both Daya Bay and Yangjiang in the second half. Now turning to Australia. There was a progressive recovery of our two coal power plants as a result of stabilizing electricity wholesale environment after the very rough market in 2022. We also started addressing the operational issues we faced last year. Following a full technical review, operational measures were taken to improve Yallourn's availability and generation. Therefore, a smaller short position was exposed to the spot in the first half. At Mount Piper, coal supply was still constrained in the first half, but we were able to secure a new long-term supply contract with Sentinel. Soft prices and the ability to flex more to adapt to high and low pricing led to improved financial performance. Lower generation from the gas asset fleet partly offset the gains from Yallourn and Piper. Customer segment's performance was impacted by higher energy cost, ongoing margin pressure from competition and the timing of passing through these higher energy cost. Altogether, there was an increase in gross margin of $463 million in the first half of 2023 compared to first half of 2022. With rising interest rates, net finance costs increased due to higher average debt levels and tax expenses were unfavorable due to reduced tax credits in line with reduced losses. Looking ahead, our key priority is to strengthen the reliability of our coal fleet. For the aging Yallourn, we begin the accelerated maintenance program to complete major outages for each of its four generation units and the implementation of the new multi-mine contract to improve coal reliability in addition to the temporary coal price caps are set to benefit Mount Piper. Our legacy hedges at low prices will continue to roll off in the second half and we have adjusted our hedging approach to lower and more certain levels to reduce our exposure to other potential extraordinary events. For the customer segment, we anticipate re-pricing will gradually reflect the higher wholesale electricity prices. We remain committed to helping our customers manage cost of living challenges through our Energy Assist program. This will involve around AUD30 million in assistance on top of the government's Energy Bill Relief Fund. Completion of the Tallawarra B gas hydrogen generation project in New South Wales is on track to support next summer's peak demand and we are making progress on new investments in flexible renewable firming projects like the development of the Wooreen battery. Taking a look at market conditions in Australia. Average prices across in New South wells and Victoria have normalized to around AUD90 per megawatt hour during the first half of 2023 with also far less volatility. We see an environment of higher wholesale forward prices than before the crisis, which together with our operational actions will set EnergyAustralia for a better second half and beyond. Finally, to India where operating earnings from Apraava increased significantly as a result of a one-off income of $0.3 billion linked to an out-of-court settlement with Jhajjar offtakers. Taking out this effect, the underlying earnings contribution from Apraava was sound as our transmission assets, renewables portfolio and Jhajjar altogether increased their contribution. With our partners CDPQ, the Apraava Energy joint venture continues to press ahead to expand its business and support India's energy transition. Commissioning of Sidhpur wind farm in Gujarat state began in April and is expected to be in operation at its full 251 megawatt capacity in Q3. Already in 2023, Apraava Energy has successfully secured around 900 megawatt equivalent capacity including wind, transmission and advanced metering infrastructure with additional bids and projects in the pipeline that could further grow its non-carbon portfolio and support its earnings growth. Turning to group cash flows. Our cash flow generation has returned to a more normal yearly profile recovering from a disruptive market environment in Australia a year ago. The cash temporarily required to back our forward electricity sales is progressively normalizing. Cash inflow of $6.8 billion was driven by robust Scheme of Control cash generation, our nuclear operations in China and EnergyAustralia's initial recovery. Also we benefited from the one-off proceeds from the divestment of Fangchenggang. Cash outflows were made up of $5.6 billion of capital investments and $4.6 billion of dividend payments. Of the $5.6 billion of capital investments, $4.9 billion was for SoC and $0.4 billion was spent on renewable projects in Mainland China and Tallawarra B in Australia. Last 2022 interim dividend and 2023 first interim dividend payments in the first half were maintained exactly at the same level as last year. Group financial situation remains healthy and liquidity also continued to be sound at similar levels as of the end of last year above $33 billion. Holdings remain well above $13 billion and we expect these levels to remain through the year. We followed financial prudency and acted to arrange cost effective, diversified financing. We raised new credit lines swiftly at Hong Kong, Australia, Mainland China and group levels to maintain high liquidity, which included cash balances of $2.4 billion at the end of June. Net debt-to-capital ratio was 33.6% at the end of June 2023 and net debt amounted to $58.9 billion, exactly the same level as one year ago. Anticipating interest rate rises, we increased the proportion and tenure of competitive fixed debt over the past years. Fixed rate debt in the group reached 54% at the end of June. More recently we introduced a component of floating rate using the opportunity offered by the Hong Kong dollar bank loan market. As a result, interest rate hikes have not meaningfully impacted our earnings. Following the yearly credit reviews by Standard & Poor's and Moody's, the credit ratings and outlooks for CLP Holdings, CLP Power and CAPCO remain unchanged, whether the level of rating or the outlook. We are in good position to address our commitments to shareholders and bondholders, maintain adequate liquidity to operate efficiently and continue to fund our energy transition plans. With that, I'll turn it over to Richard.
Richard Lancaster: Thank you, Nicolas. 18 months ago we embarked on a strategic journey to focus on growth, decarbonizing our operations and transforming our business. As we look ahead, we see fundamentals pointing sharply at the electricity sector enabling the transition to a low-carbon economy providing further validation for our direction. By 2050 electricity will supply over 50% of total global energy demand, up from about 20% today. On current estimates, over 2 billion people will drive electric cars by 2050. That's 100 times more than today, an equivalent to 75% of the global car fleet. Achieving net zero carbon emissions by 2050 will require investments of more than $4.4 trillion per year between 2021 and 2030 and clean energy technologies and infrastructure. The need for non-carbon investments in electrification is clear and it's enduring. Perhaps one of the lessons for everyone from the past year is that we must go further and faster in delivering the clean energy transition. We made significant progress in executing our strategy and I'll speak to a few growth levers, investment opportunities and achievements. We're poised for two major milestones this year that will lay the groundwork for future power infrastructure developments in Hong Kong and ensure CLP continues to deliver reliable, cleaner and cost effective power to our customers. One is the completion of the five-yearly review of the 15-year Scheme of Control agreement with the government and the second is the finalization of the development plan that covers investments over the 2024 to 2028 period. Both of these are important and necessary. They link and affirm the regulatory and economic certainty needed to plan and invest in energy infrastructure, which has allowed us to deliver one of the best electricity systems in the world. They're also what underpins the capital-intensive resources required to achieve energy security and support the government's development and infrastructure plans. The recently commissioned offshore LNG terminal and enhanced interconnector capacity between Hong Kong and Mainland China to import more zero carbon power are critical pieces of this long-term plan. As is the many years of hard work and dedication that have gone into modernizing the grid, diversifying our generation mix and expanding in our demand and supply side capabilities to support the electrification and the economy. We take confidence that the Scheme of Control has worked for over half a century now and will stay the course with our commitment to maintaining Hong Kong as an attractive place to live, invest and do business. Now to our progress in Mainland China, the engine for global growth in the last decade, making it one of the most important factors shaping the world economy. According to Bloomberg New Energy Finance, China attracted over $0.5 trillion of energy transition investment in 2022, which far exceeds any other country and demonstrates its commitment to de-carbonization. Our company has been operating in China for decades and we're well positioned to benefit from the sizable growth opportunities emerging there. Our business in Mainland China is diversified across regions and energy sources giving us resilience through business cycles. And we're making good progress in advancing our pipeline with around 3 gigawatts of renewable energy projects coming online in the near future. As China begins to marketize, we plan to expand our product offering to meet growing corporate demand for green solutions like corporate power purchase agreements, green energy certificates and carbon offsets. We have conviction about China's leading role in transitioning the global energy system. Our long-term presence, our expertise and experience have positioned us well to contribute to China achieving its clean energy objectives. And last, but certainly not least, an update on our progress against Climate Vision 2050, which is the blueprint of our group's transition to net zero. Having been the first power company in Asia to set voluntary carbon intensity reduction targets in 2007, we've clearly embedded de-carbonization as part of our strategy. Over the years, we've enhanced significantly our climate risk and opportunity reporting in line with emerging regulatory landscapes and we continue to aim for transparency and accountability in how climate change affects our business. We're doing the work now to review and again update our climate commitments and put CLP on a path towards strengthened carbon reduction targets. Phasing out coal-fired generation before 2040 is fundamental for us to achieve our de-carbonization priorities. Our Climate Vision 2050 is not just about what we will stop investing in. It's also about what we'll start investing in. We must step up our investments in non-carbon generation technologies that help stabilize the power system with more renewable energy and expand our offerings in energy efficiency and smart systems that empower our customers to reduce their own carbon footprint. We're actively directing our strategy, operations and investments towards making this transition a reality and as we update our targets, we do so with urgency, responsibility and a commitment to play our part in delivering a net zero future. Now before I pass over to Marissa for your questions, I'd just like to indulge in a few words of reflection on my 10 years of CEO of this remarkable company. During my time, I've seen significant growth and change. Hong Kong has maintained high reliability standards with average interruptions under six minutes per year. Basic tariffs have remained affordable rising at a slower pace than the rate of inflation. Our climate vision has been one of my proudest achievements. CLP has made tremendous strides in decarbonizing our operations with greenhouse gas emissions reduced by 30% and non-carbon generating capacity increased by more than 50%, which positions CLP as an industry leader in sustainability. I'm very grateful to all my hardworking colleagues who helped make this progress possible and to our customers and investors for your continued trust in us. It's been an incredible journey and I'm very proud of everything that we've accomplished together. And I want to congratulate my successor, T.K. Chiang, on his appointment as the new CEO. It's been a privilege of a lifetime to serve as the CEO for the past decade and I'm stepping down with the confidence knowing that T.K. will build on this foundation and lead CLP's success in the years to come. So with that, I'll pass over to Marissa for Q&A.
A - Marissa Wong: Thank you, Richard. For our analysts on Zoom, please use the raise hand icon to ask a question. And for webcast participants, please submit your questions through the Q&A box in the bottom right hand corner of your screen. So we have a question on Zoom, which is Steven from JPMorgan. Steven if you can unmute yourself and go ahead.
Unidentified Analyst: Hi. Thank you management. So I have three questions. The first is about the CapEx outlook for the Australia business. So can you please elaborate on what's the CapEx plan in future? Should we expect like higher CapEx because of the investments in the de-carbonization initiatives? And the second question is about the retail business in Australia. So can you please elaborate on the outlook in second half and also the competitive landscape? And then for the retail business for the hedging contract, can you please elaborate more on the duration and also the hedging ratio? And then my final question is about the outlook for power prices in Australia and then so how should we think about it and then like what's the hedging for the wholesale contracts? Thank you very much.
Richard Lancaster: Thank you, Steven. I'll perhaps address the CapEx outlook and also the broader outlook for power prices and ask Nicolas just to make some comments on the retail business and what you can say about the hedging there. But you're right that CapEx will need to increase in EnergyAustralia. We are investing in our existing assets to make sure that they will remain reliable through the end of their life. So for Yallourn and Mount Piper, and Yallourn in particular, we will need to make sure that it runs reliably until the replacement capacity is running smoothly. But looking longer term we see a need to invest particularly in energy storage so with battery projects, with our pumped hydro offtake in Queensland and looking at other storage projects in Mount Piper. Yes, there will be an increased level of investment needed in EnergyAustralia. The outlook for power or for energy prices, I think we've seen a softening of energy prices in the first half of this year as demand for European gases being sourced from sources other than Russia, we are seeing globally softening of prices. But also the interventions that the Australian governments have put in place to help cap energy prices at least provide some stability in prices in the near term as well. Nicolas, if you'd like to address the forward hedging.
Nicolas Tissot: Yes, happy to say a word about our retail business in Australia. Basically it remains a very competitive landscape so there is always tension among the main suppliers in terms of pricing. But I think the success of the first half is we were able to pass through a significant part of the higher energy costs we've seen in the second half of last year and the first half of this year and thanks to this repricing, actually if you look in detail to the financial performance we have in the retail in the first half, it has improved although we have lost a little bit of customer base. But at the end of the period, this phase of repricing at higher prices was sort of digested and we started to again win customers to competition and we expect the improvement that we've had on the -- thanks to the repricing to continue in the second half and put us in a better position for the second part of the year with -- and I will maybe let Richard comment on prices. But we expect less volatility and prices remaining at a reasonably stable and higher than pre-crisis level.
Marissa Wong: A comment on the forward hedging.
Nicolas Tissot: On forward hedging is always the same approach. We continue to hedge on a 12 to 24-month basis looking forward and obviously we have our hedges progressively getting to a better situation as the peak in prices we've seen last year or year ago more than a year ago is now progressively fading away.
Marissa Wong: Thank you, Nicolas. Evan Li from HSBC is also on the line. Evan, if you can unmute yourself and go ahead.
Evan Li: Hi. Thank you, Richard, Nicolas and Marissa on explaining results. I have a few questions. One also on EnergyAustralia on its retail business. I'd like to understand a bit more about the profit shrinkage in the first half. You've described it's partly because of high energy cost, but also because of pricing. I'd like know how much of that profit shrinkage in the first half is due to a higher OpEx or maybe structural cost element for operating the retail business other than just volatility of energy prices. And the second question that sort of relate to that is because if we look into the forward prices in Australia as from the chart you showed throughout last year into the first half, obviously, in the first half of this year we've experienced much less volatility and like to understand how and why energy cost becomes such an important element in that profit decline in the retail business. And then the third question also on EnergyAustralia that we saw net finance costs gone up a lot. If we could get a little more elaboration on that, it will be quite nice. And then the last thing that I have on my mind is on the upcoming development plan in Hong Kong, what sort of infrastructure spending should we be thinking about? Does that include anything that relates to import of electricity from the mainland as part of your climate goals in meeting your de-carbonization target? Those will be the four questions I have. Thank you.
Richard Lancaster: Okay. Thank you for those questions, Evan. And I might answer a couple of those questions, but ask Nicolas to elaborate perhaps on the retail pricing and the net finance costs. One comment I would make though, Evan. When you're comparing 2023 results with 2022, just remember 2022 was a very unusual year so we saw extreme volatility in the prices and that does shift in terms of how that translates into our accounts, it does make big changes between the energy and the retail segment. So comparing one half with the half last year is comparing a more normal year this year with a very unusual year last year and perhaps Nicolas might elaborate a little bit on his earlier comments. The outlook for forward prices as you will have seen from the slide that was in Nicolas' part of the presentation, we saw a spike in forward prices in the middle of last year. But the outlook today is a much more stable price level at around about $100 a megawatt hour. So that is the view of the market on where forward prices are going, but certainly much more stable than we saw last year. And I'll just say a few words on the development plan in Hong Kong. We are in discussions with government. There's no decision reached yet and that won't come until closer to the end of the year. So we have put forward a suite of projects that will support Hong Kong's development. We are seeing new developments, new residential and commercial developments and we will obviously support those with the electricity supply, but also a number of projects which will help Hong Kong meet its climate action target. So as part of that, a number of projects will be needed including developing renewable energy, completing as we will by early 2024 the gas infrastructure that will enable us to shift from coal to natural gas and close down our Castle Peak A coal-fired power station. But ultimately there will need to be more clean energy that is sourced regionally. So stronger interconnection with the mainland will also be part of the government's plan to decarbonize Hong Kong. So we will be discussing with government over the coming months, but no news to announce at the moment.
Nicolas Tissot: So coming back to retail and talking about the retail profit shrink we've seen in the first half. It's actually driven exactly by the same mechanism that have seen the retail increasing significantly its profit in the first half of last year. Basically we are hedged based on prices of 12 months before, 18 months before. And last year our hedges were deeply in the money on the retail side and it benefited the business. And if you remember, we released an increase of our profitability in the retail business. And this first half we are selling the electricity based on hedges which were placed at a time of quite high prices, the peak in prices mentioned by Richard, and therefore we are impacted by this higher cost of energy and hedge. I would say on your specific question on higher OpEx or structural cost, it's really marginal in the analysis because we implement projects to optimize those costs and reduce those costs. It's a long-term journey based on more automation, digitalization of that business, completely rethinking the way we approach our customer relationship management of our large customer base. So it's not a big driver of the movement in profitability of our retail business that you see in the first half. But if anything, we are pushing towards operating this business with lower OpEx and structural cost. On forward prices, I think Richard already commented and we've kind of shared with you the type of assumptions coming from the forward markets that we are using for also guiding you and commenting on the direction of trouble for our results. So nothing more to add. I guess your question on finance cost is specifically for Australia. It's a result of the higher debt resulting from more cash being absorbed by our hedging operations and also the acceleration of our flexible assets project, including the building of Tallawarra B and the new projects we are implementing. We are funding those projects on a nonrecourse local basis and therefore, there is some debt positioned at EnergyAustralia level and that triggers also higher finance costs.
Marissa Wong: Thanks, Nicolas. Thanks, Evan for your question. We have one from Pierre Lau at Citibank. Pierre, please go ahead. Pierre, if you can hear us, please unmute yourself.
Pierre Lau: Okay. Can you hear me?
Marissa Wong: Excellent.
Pierre Lau: Okay. Hi. Thanks, everyone, and good afternoon. In particular thanks, Richard, for the last 10 years' effort on the company and helping us a lot. I have three questions on the company. The first one is about SoC CapEx. I understand that the company is in discussion with the government for the next five-years SoC CapEx. And over the last five years, the addition of new gas-fired power part was a big factor adding to SoC CapEx number. So do you expect SoC CapEx in next five year to be higher or lower than the number in the last five-year period given that it seems less number of gas-fired power plant to be added ahead? That's question number one. Question number two is about the Australian business. I understand that Richard is talking about disposal ahead will be more on a project-alone basis. Do you have any idea so far of what's the progress regarding the discussion? And do you have any idea how much you want to raise? And so that would give us some idea regarding the size of the assets to be sold. And the third question is we understand you have much CapEx in Australia ahead. So for the fund raising in Australia ahead, do you expect it to be fully used for your business in Australia or you have some opportunity getting some money back to Hong Kong to pay some extra dividend to shareholders? Thank you.
Richard Lancaster: Thank you. Firstly, thank you for your comments, Pierre, and thank you also for your questions. Regarding the SoC CapEx, it really is too early for me to make any comments. We are in discussions with government. There is a lot of a lot of infrastructure developments in Hong Kong. There's also, as you quite rightly point out, a need to support continued de-carbonization. The timescales for these are still being developed. So it's still very much work under discussion and we won't really have anything to say until close to the end of the year. Regarding EnergyAustralia, we have been saying that we would like to find partners for our investments in EnergyAustralia. That can be at the enterprise level. It could also be at the project level. So as we take these investments forward, we are looking for partners to see through these investments. We are still at an early stage. We have been making a number of investments to transition our portfolio so that we can plan for and prepare for the closure of coal-fired power. But at this stage, we are exploring all opportunities. And with the investments, depending on how we structure our partnerships in EnergyAustralia, that may well be reinvested in future investments as we've done with Apraava in India or depending on where we see opportunities for our business at the time, we may see some reallocation of capital. But our intention would be to continue to support EnergyAustralia's energy transition investments with partners.
Marissa Wong: Thanks, Richard. Ken Liu from UBS. Ken, please go ahead.
Ken Liu: Hi. Thanks management for the presentation. I have two questions. The first one is on the debt situation for Hong Kong. I realized in the first half we have a bit of higher interest costs. Can you help me to understand what's the breakdown of fixed debt versus floating and what's the average rate for now and what's the outlook in 2024? And the second question is regarding the Australian business. Any update regarding the proposed acquisition from Macquarie in terms of the time frame and in terms of the pricing, anything would help? That's it. Thank you.
Richard Lancaster: Thanks for those questions, Ken. I'll answer the second question and then pass to Nicolas for the first question. There has been some speculation in the market, but we would like to find partners for our investments in EnergyAustralia. We're not solely looking at partnerships at an enterprise level. We are also looking for partners at a project level or at a platform level. And so we have been in discussions with various parties and we have not got anything at this stage that we would want to or be in a position to announce.
Nicolas Tissot: So talking about the debt in Hong Kong, we are basically with a very conservative level of leverage on our Hong Kong business. Traditionally if you look at the rating of the two entities carrying the debt in Hong Kong, namely CLP Power and CAPCO, they both have very high ratings reflecting a very reasonable level of leverage. That's an overall comment on the level of debt carried in Hong Kong. And then if you talk about the sensitivity to higher interest costs, I don't know how familiar you are with the arrangements of the Scheme of Control business regarding interest cost pass-through, but a great deal of the interest cost is a pass-through to the SoC. So no impact on earnings at all and only some of the interest cost is not a pass-through and is impacting our P&L and we have actually disclosed precisely the impact of that in the first half. I refer to the slide 11 of the presentation where you see $246 million increase in interest cost, which is an impact on the earnings of our Hong Kong business. So you see compared to the size of the debt and compared to the increase of interest you've seen in the market, that's a very limited impact on our business. And thanks to a majority of the debt which is on the Hong Kong business being at fixed cost, we are also protected for a while from the rise you've seen in the short-term interest rates. And therefore, our average cost of debt remains at a reasonably low level. We are usually not disclosing details on this level, but I can say it's still south of 4% on average cost of debt we've seen in the first half of 2023 and again a significant part of that is a pass-through to the SoC.
Marissa Wong: Thanks, Nicolas. We're just hitting quite close to time so we'll take a few more. Rob Koh, Morgan Stanley Australia. Nice to have you with us, Rob. If you want to unmute and ask your question please.
Robert Koh: Thank you. Can you hear me okay?
Marissa Wong: Yes.
Robert Koh: Okay. Great. Well, firstly just on a personal note, congratulations to Mr. Lancaster for a wonderful career. Thank you for everything. Even in Australia, we appreciate your efforts. My question is I guess around some of the recent Australian policy changes, I'll just mention two of them and if you could provide a view as to whether these are material to the business in Australia or positive or even a challenge. The first one is that in Victoria from next calendar year the new households will not be able to have a gas connection. And then secondly, it's already started in this July-August period, there is some temporary government support measures for vulnerable households. You've commented that you're obviously very sensitive to price rises and the impacts to customers. So just interested in if you see that policy being helpful.
Richard Lancaster: Well, thank you for your comments, Rob. And in relation to your two policy changes. The first one is with Victoria for new households not being allowed to have new gas supplies. For an energy company, which is primarily an electricity supplier and sees a promising future for electricity in a decarbonized world, it's a good thing longer term because that is essentially how we will be transitioning our business and recognizing that electricity will be replacing other forms of energy. But to get from where you are today to a decarbonized energy landscape is not straightforward and needs to be carefully planned. And I think it's quite early days yet because this policy has only recently been announced. But something that we do need to manage very carefully is that transition, it does need to be well planned. And we would have to really understand how that transition could play out and make sure that households do get sufficient energy as an alternative to natural gas. Your second policy in terms of support for low income households. That is essentially one of the main challenges for the energy transition globally is how to provide support for low income households as massive investment is needed and massive change is needed in the energy transition. So that is a role where governments do play an important role in making sure that the more vulnerable in society are protected from shocks in energy prices and from the cost of transitions. And as a responsible energy supplier, whether we are meeting or managing this impact in Hong Kong or in Australia, we also do what we can to help support low income households manage their energy bills.
Marissa Wong: Thank you, Richard, and I think we will finish with one last question from the webcast. And there's two questions that relate to EnergyAustralia. I'll just read them out. Congratulations on one half '23 results. Focusing on EnergyAustralia's performance in first half '23, it is mentioned that generation reliability and availability is a key area of concern. Does securing the long-term coal agreement mean that expected output in second half '23 at Mount Piper will be significantly greater than first half '23?
Richard Lancaster: Are we going to read -- maybe we could wrap all of this up and I can answer them.
Marissa Wong: And a follow-on question from Daniel Fitzgerald of Martin Currie. What will it take for the Australian business to return to profitability?
Richard Lancaster: Okay. Two very similar questions so I think just to cover that completely. For our performance in EnergyAustralia, we are seeing the fruits of the efforts that we put in in the second half of last year and the early half of this year. There are three main areas that impacted our performance in 2022. One of them was the availability of Yallourn Power Station. So by changing our operation and by investing in plant reliability improvements over the coming second half of this year and first half of next year, that will be addressed. We've taken steps to improve the coal supply at Mount Piper. There's been extensive negotiations with our coal provider in the first half of this year. We have a more diverse supply of coal for Mount Piper. And it's not that these are great volumes of coal, but it's important that we do get coal when we need it. When the plant needs to run, it's important that we do have coal supply. So having a more secure and more reliable supply of coal is the objective there. And thirdly, it's been adjusting over time our portfolio of forward contracts. So as we entered into the energy shock of 2022, we had a portfolio of forward contracts which were at relatively low price. There was a sudden shock so we were well out of the market. And it's taken us -- because of the tenure of those contracts, it's taken us until now and over the coming months to see that fully transformed into a portfolio, which is right for the prices that we're seeing today.
Marissa Wong: Thank you, Richard. I will close the Q&A session here. Thank you both, Richard and Nicolas, for the briefing and answering the questions. An archive of this briefing will be available in a few hours on our website and my team will be here to take any further questions you might have. Thank you all for your attendance. I will now close the briefing. Thank you and goodbye.